Operator: Good day, ladies and gentlemen and welcome to the AMERISAFE First Quarter 2016 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your first speaker for today, Chief Risk Officer, Mr. Vincent Gagliano. You may begin, sir.
Vincent Gagliano: Good morning. Welcome to the AMERISAFE 2016 first quarter investor call. If you have not received the earnings release, it is available on our website at www.amerisafe.com. This call is being recorded. A replay of today’s call will be available. Details on how to access the replay are in the earnings release. During the call, we will be making forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of factors discussed in today’s earnings release, in the comments made during this call and in the Risk Factors section of our Form 10-K, Form 10-Qs and other reports and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statement. I will now turn the call over to Janelle Frost, AMERISAFE’s President and CEO.
Janelle Frost: Thank you, Vincent and good morning everyone. Thank you for joining us on the call today to discuss our first quarter results. But let me start by discussing the market. The workers’ compensation market is in an interesting state. An industry that has historically not looked attractive due to underwriting results has been profitable over the last 2 years. This was spurred by companies coming to the pressure of underwriting discipline forced by low interest rates. At the same time, workers’ compensation pricing has continued to decline. MarketScout reported a 2% decline in workers’ compensation composite rates in the first quarter. All of these events have led to a softening market, but not as soft as prior cycles when investment income was more prevalent. AMERISAFE has maintained its demonstrated discipline. We started the year off with a 70.8% combined ratio, a return on average equity of 20.8% and 60.3% increase in net income. These results were led by favorable loss development from extensive claims management and underwriting discipline in prior periods. While continued underwriting discipline has slowed our top line growth, we believe this discipline is prudent for the long-term benefit of our stakeholders. In the first quarter, gross premiums written decreased 0.4% from the prior year’s quarter. Our average ELCM decreased from 184 in the first quarter of last year to 176 this quarter. With the overall pricing decline, we grew new business 13.8% in the quarter and new business policy count grew 14.4%. Renewal premium was down 7.8%, but policy retention was relatively flat at 91.5%. Overall, premium for policies written in the period were down $2.8 million from the prior year. However, audit premium and related adjustments increased $2.2 million in the quarter. This tailwind was driven by additional audits processed in the quarter and stronger than expected payrolls on those policies. While I do expect audits to remain positive, I do not believe this tailwind to be a trend for the year. Relative to losses, the quarter’s loss ratio was 48.7%, again driven by prior accident years. The favorable development was largely a result of case developments, primarily in accident years 2012, ‘13 and ‘14. It has been our historical pattern not to adjust our prior accident year until 30 to 36 months. However, due to favorable case development in accident year 2014, that accident year was adjusted this quarter. The current accident year selection is 67.9%, a 1.9 percentage point improvement from accident year 2015. I believe this to be reflective of our strong pricing and an assumption of only modest changes in frequency and severity. I will now turn the call over to Neal Fuller, our CFO to discuss the financials.
Neal Fuller: Thank you, Janelle and good morning everyone. For the first quarter of 2016, AMERISAFE reported net income of $24.3 million or $1.27 per diluted share compared with $15.1 million or $0.79 per diluted share in last year’s first quarter, an increase of 60.3%. Operating net income in the quarter was $24.1 million, or $1.26 per share, a 59.7% increase from the first quarter of 2015. Revenues in the quarter increased 0.5% to $102.3 million compared with last year’s first quarter. Net premiums earned increased 1.2% to $96 million when compared to the first quarter of 2015. Net investment income was $6 million in the first quarter of 2016, a decline of 11.5% when compared with last year’s first quarter. The significant driver of this decrease was the decline in value of a hedge fund investment, which is mark-to-market through net investment income each quarter. Without the hedge fund decline, net investment income was flat compared to the first quarter of 2015. The tax equivalent yield on our investment portfolio was 3.4% in the quarter, down slightly from 3.5% in the first quarter of 2015. There were no impairments or significant realized gains or losses during the quarter. The investment portfolio continues to be high quality carrying an average AA- rating, with an average duration of 3.02 and with 51% in municipal securities, 33% in corporate bonds and the remainder in cash and other investments. Approximately 55% of our investment portfolio is classified as held to maturity, which is in a net unrealized gain position of $19.5 million. These gains are not reflected on our book value as these bonds are carried at amortized cost. With regard to operating expenses, our total underwriting and other expenses decreased 1.2% in the quarter to $20.1 million compared with $20.4 million in the same quarter last year. We saw slight declines in compensation costs and premium taxes offset by slight increases in insurance-related assessments and bad debt expense during the quarter compared to last year’s first quarter. By category, the first quarter of 2016 expenses included $5.8 million of salaries and benefits, $6.9 million of commissions and $7.5 million of underwriting and other costs. Our expense ratio for the first quarter was 21.0% compared with 21.5% in the first quarter last year. Our tax rate increased to 29.5% in the quarter, up from 28.6% in the first quarter of last year. The increase reflects the larger amount of taxable income compared with tax exempt during the quarter as a result of the increased favorable prior year development. Return on equity for the first quarter of 2016 was 20.8% compared to 13.3% for the first quarter of 2015. Operating ROE for the quarter was also 20.8%. On April 26, 2016, the company’s Board of Directors declared a regular quarterly cash dividend of $0.18 per share payable on June 24, 2016 to shareholders of record as of June 10, 2016. And finally, a few other items of note. Book value per share at March 31 was $24.96, up 5.2% from year end and up 2.6% from last year at this time. Our statutory surplus rose to $397.2 million at March 31, 2016, up $25.8 million from year end. AMERISAFE expects to file both our Form 10-Q for the first quarter and our annual proxy statement with the SEC this Friday, April 29. That concludes my remarks and we would now like to open up the call to investors for a question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] And our first question or comment comes from the line of Matt Carletti with JMP Securities. Your line is now open.
Matt Carletti: Thanks. Good morning and congrats on a very nice start to the year.
Janelle Frost: Thank you.
Matt Carletti: Few questions. I guess I will start high level and move down. On past quarters, I think last year really kind of started the initiative of sort of kind of lack of a better phrase, maybe a little more granularity on pricing in terms of dissecting accounts and looking at which accounts you really needed to hold the line on rate and which others may be where you could give up a little and there is still a lot of profit there, can you update us on kind of how that’s progressed and if it’s gotten traction or if the market is not allowing it, just kind of where that stands?
Janelle Frost: Sure, great question. I believe we are getting some traction on that front. As we have talked about on prior calls, we kind of did an analysis of taking an 8-year loss history of AMERISAFE and finding out by class, by industry, by state where we felt like we were able to be most profitable and where we had the best market penetration. Real complicated structure green, yellow, red and I do think we are making strides towards that particularly in the first quarter this year with some of our sales initiatives.
Matt Carletti: Okay, great. And then kind of just macro-topic, obviously energy has been in the news a lot, I know it’s not a huge part of your guys’ book, but I am just curious on where you do kind of have energy exposure, have you – has that been a headwind that may be there is some growth elsewhere that’s been offset or are you really not seeing any impact yet?
Janelle Frost: No, we have definitely seen the impact, but we have been able to offset it with other industries.
Matt Carletti: Okay, great. And then just last question, just a number, you probably gave it and I apologize if I missed it, but did you give ELCM in Q1?
Janelle Frost: 176.
Matt Carletti: 176. Alright, great. Thanks a lot and congrats again.
Janelle Frost: Thank you, Matt.
Neal Fuller: Thanks Matt.
Operator: [Operator Instructions] Our next question or comment comes from the line of Alex Combs with FBR Capital Markets. Your line is now open.
Alex Combs: Hi guys, good morning.
Janelle Frost: Good morning Alex.
Alex Combs: So last quarter you mentioned some investments in the business within the sales and marketing piece, so we are a bit surprised to see the expense ratio so low and actually an improvement from 2015, I think Neal alluded this could potentially move up a few points, so can you provide any color on expenses for 2016 and should we expect these to be back-loaded then?
Neal Fuller: Yes, this is Neal. We still expense that the expense ratio in the fourth quarter and actually a little bit in the first quarter had some favorable tailwind. So we detailed that out in the press release. But we still do expect the expense ratio to bump up potentially as high as a couple of points higher for the full year compared to the full year last year.
Alex Combs: Okay, great. And then on the call last quarter, you mentioned that you were shrinking your independent agent count and focusing on some key relationships, can you give an update on how this initiative is working out, I know you are seeing increased production from these focused relationships?
Janelle Frost: Yes. I think we are and I don’t know if you are able to hear in my opening comments, I talked about the growth that we had in new business. 13.8% in terms of premium and 14.4% in terms of policy count. And I certainly attribute that to our sales initiatives.
Alex Combs: Okay, great. And then one last if I could, can you give a breakout of the favorable reserve development by the accident year, so that 18.4 across the 2011, 2013?
Neal Fuller: Yes, this is Neal Fuller. I have go that breakout for you. I will just walk you backwards from 2014. 2014 was $3.9 million, 2013 was $5.2 million, 2012 was $5.7 million, 2011 was $1.3 million, 2010, $1 million and 2009 and prior was $1.3 million.
Alex Combs: Alright, great. Thanks, guys. Congrats on the good quarter.
Janelle Frost: Thank you.
Neal Fuller: Thanks Alex.
Operator: And our next question or comment comes from the line of Mark Hughes with SunTrust. Your line is now open.
Mark Hughes: Thank you very much. Good morning.
Janelle Frost: Good morning Mark.
Mark Hughes: I regret, I just jumped on the call, did you provide the ELCM for the quarter?
Janelle Frost: That’s fine. You missed all my brilliant comments. I’ll be happy to give that for you later.
Mark Hughes: You have a lot of good jokes like…
Janelle Frost: No hunting stories, so fishing stories unfortunately. 176 for the quarter.
Mark Hughes: 176. And then just your subjective comments on the competition, kind of how you felt about it at this quarter versus last quarter, the written premiums seem to be kind of steady in line with what has been the pattern, but how do you see competition?
Janelle Frost: From the competitive environment, we really haven’t seen any changes from when we spoke at year end. There is nothing – no one out there that I could tell you it’s being extremely aggressive. We think it’s a softening market. But companies are maintaining their discipline. I do think our sales initiatives internally are helping this kind of ride the tide right now. So that’s a good thing for us, but no real change in the competitive environment.
Mark Hughes: Did you address kind of the philosophy on the reserve releases, I think maybe historically there has been some preference for seeing how things develop during the year, there seems to be a strong result this quarter, any...?
Janelle Frost: It is.
Mark Hughes: Any change in philosophy or?
Janelle Frost: No, it’s not a change in philosophy. We just had a large amount of favorable case development this quarter. As you know, we don’t – compared to the industry, we don’t carry a large of IBNR. And so when we have favorable development like that, it’s really driven by case development.
Mark Hughes: Right. Are there any underlying patterns there that maybe patterns you can’t say that they are patterns yet, but could be something emerging?
Janelle Frost: We are in a lumpy business. Obviously, I can’t develop a pattern of three months worth of data for accident year 2016. I will say, in the first quarter we didn’t have any claims in excess of $1 million, but subsequent quarter end for accident year 2016 we did pick up two, one is rather large, $5 million. So that just attributes to the fact that we are in a lumpy business and we will see what happens for the remainder of the year.
Mark Hughes: Got it. Thank you very much.
Janelle Frost: Thank you.
Operator: And at this time I am showing no further questions. So with that said, I would like to turn the conference back over to the President and CEO, Ms. Janelle Frost for closing remarks.
Janelle Frost: Thank you. I wanted to say at the beginning of this call that we were missing a very important person. My fear was I won’t be able to make it to the end of the call as I did. As you know, Allen Bradley retired last Friday. I want to use this public forum to thank him on behalf of the AMERISAFE family for his service, his passion and his inspiring leadership. He gave us all something to aspire to. Allen, we know you are listening and you will be missed. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. And you may now disconnect. Everyone have a wonderful day.